Operator: Good day, ladies and gentlemen, and welcome to AmpliTech Group's Quarterly Investor Update Call, where the company will discuss its full-year results for 2022. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, today's conference is being recorded. I would now like to turn the call over to AmpliTech’s Director of Corporate Communications, Shan Sawant.
Shan Sawant: Hey, thanks and thanks everyone for joining today's call to review the progress of AmpliTech’s growth initiatives and to answer our investor questions. On the call today are AmpliTech’s Founder and CEO, Fawad Maqbool; the company's COO, Jorge Flores and the company's CFO, Louisa Sanfratello. Following management's comments, we will open the call up to investor questions and I'll also take on some questions I was given through email. An archived replay of today's call will be posted to our Investor Relations section of AmpliTech’s Corporate website. And just a reminder, this call is taking place on Monday April 10, 2023. The remarks that follow and answers to questions include statements that the company believes to be forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally include words such as anticipate, believe, expect or words of similar importance. Likewise, statements that describe future plans, objectives or goals are also forward-looking. These forward-looking statements are subject to various risks that could cause actual results to be materially different than expected. Such risks include, among others, matters that the company was described in its press releases and its filings with the securities and exchange commission. Except as described in these filings, the company disclaims any obligation to update forward-looking statements which are made as of today's date. So again, thanks everyone for joining. And with that, let me turn the call over to our CEO, Fawad Maqbool.
Fawad Maqbool: Thank you, Sean. Ladies and gentlemen, thank you for joining us today on our 2022 review call. I'm delighted to have this opportunity to share some of the achievements and milestones that AmpliTech has accomplished over the past year. It's been a busy and productive year for our team and I'd like to take a moment to highlight some of our key financial and operational successes, provide updates on our product development and reflect ambitious goals we've set for ourselves in 2023. Some key highlights over the past year include the revenue increased 267% to $19.4 million in fiscal year ‘22, compared to $5.3 million in fiscal year ‘21. Fiscal year ‘22 gross profit grew to $8.9 million, an almost seven-fold increase from fiscal year ‘21 gross profit of $3.1 million or $1.3 million excuse me. The gross profit margin nearly doubled to 46%, compared to 24.5% a year ago. Fiscal year ‘22 net loss was $677,000, compared to a fiscal year ‘21 net loss of $4.8 million, a positive swing of approximately $4.1 million. The net loss includes a one-time revenue earnout of approximately $816,000 as a result of Spectrum beating sales expectations for the years 2021 and 2022. This is a big plus for us because we got increased sales from Spectrum, which were exceeding whatever we expected. So we look at this as a very positive thing. It's important to note that without this earnout payment, the company would have been profitable for the fiscal year. As of December 31, 2022, cash and equivalents totaled $13.3 million and working capital was $20.3 million, which is sufficient capital for AmpliTech on all of its strategic growth initiatives. AmpliTech experienced great success in trade shows such as the Satellite 2022, IMS 2022, the AOC 2022 and the APS March Meeting 2022. Achieving positive customer engagement and setting company records at each event for the number of meetings with new and existing customers. All these shows are special trade shows that display the technology, the current technology that we are developing. Customers that began to sample AGMDC's new MMIC chip products, which have received [Technical Difficulty] positive [trade] (ph) and feedback. We include MMIC’s for 5G, Quantum computing and Satellite applications among others. I'd now like to provide some insight into broader market conditions and their impact on our company. Demand for AmpliTech product remains robust. At the start of 2022, we set ambitious targets to grow revenue, expand margins and develop the world's lowest MMIC amplifier -- lowest noise MMIC amplifier. I'm incredibly proud of the AmpliTech team for making significant strides in achieving these objectives. As highlighted earlier, our annual revenue reached approximately $19.4 million in 2022, representing a nearly four-fold increase from our 2021 revenue, which was approximately $5.3 million. This growth can be attributed to the addition of our semiconductor packaging distributor arm Spectrum, as well as the rising demand for our core LNA product line, which is the regular amplifiers, low noise amplifiers, modules and assemblies. Spectrum as well had a rising demand for our core LNA product line. Despite the industry-wide challenge of escalating material costs, we successfully nearly doubled our gross margins from 24.5% to 46% through strategic inventory purchasing, optimizing manufacturing methods and tightening processes across the organization. In terms of profitability, we achieved a net operating profit during our fiscal year of 2022. Although we did incur a net loss of $677,000 this was due to a one-time $816,000 revenue earn out as I mentioned before. This was part of the deal with the Spectrum acquisition. Spectrum exceeded sales estimates of 2021 and ‘22. This represents an improvement of over $4 million during the fiscal year of 2022. As such, AmpliTech remains well capitalized for our ongoing initiatives, bolstered by robust cash reserves and healthy working capital of $20.3 million. Consequently, we currently have no need to raise additional funds. As other companies face rising cost of capital due to interest rate hikes, we do not foresee a necessity to take on debt given our ample and existing capital in the high -- low cash burn rate. That said, we continue to closely monitor our mark-to-market conditions, which are constantly evolving. We will be providing our revenue guidance and updated backlog numbers for fiscal year 2023 during our Q1 conference call in mid-May. I'd like to take a moment to discuss the state of today's industry communication infrastructure and the vast opportunities that we see in this dynamic market. As we highlighted during our last quarterly call, the industry's existing communication infrastructure required to significant enhancements to power the next generation technologies. We believe that the gap between current performance levels and what's anticipated presents an extraordinary opportunity for our company. As technology evolves and demand for high performance communication systems escalates the necessity for more efficient and compact MMIC amplifiers that's Monolithic Microwave Integrated Circuit is intensifying. Advanced MMIC amplifier chips with superior signal to noise ratios have the capability to unlock higher data transmission rates, reduced latency and enhanced connectivity for 5G, 6G networks. As well as more dependable long distance communication for satellite systems. Moreover, these ships can improve the accuracy of target detection and tracking in radar systems used in defense, aerospace and weather monitoring. In the realm of IoT, Internet of Things, multi-trillion dollar market where size, weight and power constraints are critical, highly integrated components like our new MMIC amplifier chips are essential. We expect MMIC sales to account for a growing portion of our revenue mix going forward and contribute to the sustained profitability of the company. We're proud of the cutting edge technology and product line that our team has developed in a remarkably short period of time. These products address the industry's most pressing technical challenges for the communications infrastructure. The overwhelming positive response we received, while showcasing these products at events such as satellite, IMS, AOC, validates our market alignment. In summary, the evolution of high performance MMIC amplifiers is vital to meeting the ever increasing demands of modern communications systems and emerging technologies. At AmpliTech, our unwavering commitment lies and continuously pushing the boundaries of MMIC technology and LNA technology, paving the way for faster and more efficient communication systems that will revolutionize various industry. And these are very large industries, fully autonomous vehicles, satellite communication systems, 5G, 6G, powers and micro cells, they're rebounding by the minute. With that, I'd like to extend my heartfelt congratulations to the entire AmpliTech team for their exceptional efforts in executing this year both financially and operationally. Together, we have ventured into new domains that have long been part of our vision and we eagerly embrace challenges that lie ahead as we continue to shape the future of communication. Back to you, Shan.
Shan Sawant: So that concludes the Q&A session. I will now turn the call over to for -- back to Fawad. Oh, sorry, let’s actually start with the Q&A session. Yes, so…
Fawad Maqbool: So if anybody have any questions on the results or anything please ask them now.
Operator: [Operator Instructions] First question today comes from Jack Vander Aarde with Maxim Group. Please go ahead.
Jack Vander Aarde: Okay, great. Thanks, guys. I appreciate the update and congrats on the strong finish to 2022. I'll start with the question on -- for Fawad. You guys have had -- clearly had success in your more recent trade shows or in past trade shows and it seems like the success is growing in terms of number of meetings. Wondering if you can give me a sense of or give us a sense of how RFPs are coming in or potential for RFPs and as well as actual orders as well from these trade shows. Just like to get some extra color there? Thanks.
Fawad Maqbool: Yes, Jack. Thanks for the question. Yes, we've had a large response at these meetings. I mean, it's all a result of our CRM efforts and our business development efforts. At the last meeting, I think we broke -- at last satellite show we broke our record, we had over 100 meetings and at least 80%, 80 of those meetings are led to RFQ activity. So we have seen an increase in RFQ activity in all areas of communications and particularly satellite. It seems that the satellite market is growing very fast. The LEO constellations and the MEO constellations that are going up are very, very important now. And they're all looking for higher data rates and revamping their older infrastructure and they don't want to be absolute in a couple of years. So this is a big market for us, because we've already been in the space business for many years and satellites are space qualified hardware that takes a lot of experience. So it really blends in well with our past experience and all the MMIC’s that we're making right now are specifically geared towards satellite and space qualified hardware. So it is very good for us. We expect increase in the RFQ activity, as well as subsequent sales, because we do not have that much competition in terms of performance for all these systems and satellite systems of all the 5G systems and the ground stations, because it's both on the ground, as well as towers that [Technical Difficulty] diversification of satellites.
Jack Vander Aarde: Great. I appreciate the color there. And if I were to just follow-up, kind of, more of a housekeeping question. I think in the past you've provided -- you typically provide a customer orders or customer backlog at the end of the period. Did you provide that this time around? If not, is there, kind of, a general sense you could provide for us in terms of where the backorders are?
Fawad Maqbool: Yes. We're going to give full guidance to revenue in our next quarterly call. But right now, we don't -- we’re really -- we don't have all the numbers yet, but we are going to provide that guidance in the next call.
Jack Vander Aarde: Okay, great. And then maybe just another follow-up question in general. I think in the past, you've talked about the seasonality of the two, kind of, businesses between your core business and Spectrum. Is there a seasonal stronger period in the first-half of this year is expected? Or is that something you would cover on your next earnings call as well? Any insight there would be helpful.
Fawad Maqbool: No. Yes. You know, as I mentioned before, there is some seasonality. Usually, the first quarter is never an indicative of how the rest the year is going to be, because of all the different holidays and everything that happened. So the first quarter is just everybody gearing up for the future business. So this year, we haven't had any big decline. It is less than we had last year at the same time, but it's not indicative of the future, because we're getting a lot more RFQ activity than we ever did before.
Jack Vander Aarde: Excellent. Okay. I think that's it for me. Great results, guys. And I look forward to the next earnings call as well when you provide your outlook. Thanks, Fawad.
Fawad Maqbool: Thanks, Jack.
Operator: [Operator Instructions] The next question comes from Richard Greulich from REG Capital Advisors. Please go ahead.
Richard Greulich: Thank you. So, if you could refresh my memory, did the revenue payout that occurred, was that at the end of it, so it's just for ‘21 and ’22? Is there anymore continuing into ‘23?
Fawad Maqbool: Louisa, I think go ahead with that?
Louisa Sanfratello: No, that revenue earnout was based on 2021 and 2022 revenue numbers for Spectrum only. And the reason we have the earnout in 2022 was because Spectrum exceeded their sales numbers. So anything over the -- based on the purchase agreement, anything over $20 million they got a revenue earnout. You will not see that in 2023. We're pretty much wrapped up with the Spectrum acquisition.
Richard Greulich: Great. Thank you.
Louisa Sanfratello: You're welcome.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Fawad Maqbool for any closing remarks.
Shan Sawant: Sorry. So operator, I actually have a couple of questions here submitted, so maybe we can go over those. So yes, I have a question here for you maybe Fawad, you could take this. So does the company foresee maintaining or even improving upon the 46% gross margins you reported for annual year in 2022?
Fawad Maqbool: Glad to share that information. Our recent improvement in the margins from 26.5% to 46% year-over-year was made possible through strategic combination of several initiatives. First, we shifted our focus to high margin products, which will help us increase our overall gross profit margin. Second, we developed in-house capabilities to assemble and test our products, which allowed us to maintain private control of our supply chain and thus reduce our costs. Finally, we have focused on maintaining a niche inventory of high margin products through our semiconductor distribution arm Spectrum. [Indiscernible] we were continuing to improve our margins. Main opportunity for us at the moment would come from increasing sales of higher margin products, which we are focusing on strategically. All our products are now a higher margin products such as the space, satellite and MMIC’s and quantum computing. All those are very high margin, plus we do very special jobs for our ground station customers. There are also high margin products that no one else really can do, so we'll continue to focus on developing and promoting these products to our customers, while maintaining our current initiatives to improve the margins at all times. At AmpliTech, we're always committed to pursuing sustainable growth, while maintaining strong focus on profitability. Is that answered your question?
Shan Sawant: Thanks for that. Yes, thanks for that Fawad. Just going to read a few more that I got in here. Okay, so actually, this is plays in well too. You mentioned some markets here, so what technology sectors are providing exciting opportunities? Anything in -- you know, you mentioned Quantum, AI and those things?
Fawad Maqbool: Yes. So all of those areas are actually -- we're getting a lot of RFQ activity form and the amplifiers that we make, the Low Noise Amplifiers are a core component of all these systems, so they're enabling Quantum computing, it’s a core component that's used in all the cubits. They're enabling artificial intelligence in terms of the communication and data and wireless data transfer. And we have a bunch of pipeline and opportunities into Quantum, the AI, 5G and satellite communication industries, that's very exciting for the company.
Shan Sawant: Got it. Thanks for that one. Okay, here's another one, if there's a perception among management that the company is undervalued or insider purchases and/or share buyback is being considered?
Fawad Maqbool: No, we don't think that's an effective use of our capital at this time. We believe that we are focusing and using that capital to grow our existing technology and our product base and support our customers’ increasing demands. So using the capital to buybacks and all right now is not really in our strategic focus.
Shan Sawant: Okay, great. Maybe I can do one more here. So generally speaking, how has calendar Q1 gone? And is there an idea when we might be seeing the results?
Fawad Maqbool: Sorry, can you repeat that?
Shan Sawant: Okay. Generally speaking, how is calendar Q -- calendar quarter Q1 gone and when we'll be seeing results on that?
Fawad Maqbool: Well, we've not released that right now to the public and we can't comment on them yet, but we'll have a conference call on schedule. But as I said, mid-May to go over the Q1 results.
Shan Sawant: Okay. Yes, I think we are good on questions for now. So yes, thanks again for everyone who sent in those questions. If any further questions, feel free to reach out to our investors' email, and we will happy to get back to you and answers as soon as possible. And, yes, thanks a lot for taking the time to answering those.
Fawad Maqbool: All right. Thanks everyone for joining our call today to hear about the progress we've made and the plan we have to further our company's mission of providing the communications systems of tomorrow today. We look forward to updating you further with our Q1 financial results in mid-May 2023. As always, we welcome the opportunity to speak directly with the interest investors and meet at conferences and other IR events. Should you have any questions or wish to schedule the call with management, please contact our Communications Director, who's contact information is listed at the bottom of our press releases.
Operator: This concludes our conference call today. Thank you. You may now disconnect your lines.